Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Nature's Sunshine's Financial Results for the Fourth Quarter and Full-Year ended December 31, 2021. Today's call is being recorded. Joining us today are Nature's Sunshine's CEO, Terrence Moorehead; CFO, Joseph Baty; and Executive Vice President and General Counsel, Nathan Brower. Following their remarks, we will open the call for your questions. Before we go further, I would like to turn the call over to Mr. Brower as he reads the Company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Nathan, please go ahead.
Nathan Brower: Yes. Thank you. Good afternoon, and thanks for joining our conference call to discuss fourth quarter and full-year 2021 financial results. I'd like to remind everyone that this call is available for replay via telephonic dial-in through March 22 and a live webcast will be posted in our Investor Relations portion of our website at naturessunshine.com. The information on this call may contain certain forward-looking statements. These statements are often characterized by terminologies such as believe, hope, may, anticipate, expect, will, and other similar expressions. Forward-looking statements are not guarantees of future performance, and the actual results may be materially different from the results implied by forward-looking statements. Factors that could cause results to differ materially from those implied herein include, but are not limited to, those factors disclosed in the Company's annual report on Form 10-K under the caption Risk Factors and other reports filed with the Securities and Exchange Commission. The information on this call speaks only as of today's date, and the Company disclaims any duty to update the information provided herein. Now I would like to turn the call over to the CEO of Nature's Sunshine, Terrence Moorehead. Terrence?
Terrence Moorehead: Thank you, Nate, and good afternoon, everyone. Appreciate you joining us today. And I am pleased to share our fourth quarter and full-year 2021 results with you. Before I get into the results, I just want to take a moment to share a few thoughts on the situation in Ukraine. As the past two weeks have been a harrowing experience for our friends, partners and colleagues in the region, we unequivocally support the Ukrainians people's effort to live, grow and work in a free and peaceful society, and our hearts go out to our distributors, the people of Ukraine and peace loving people everywhere as we watch the situation unfold in front of us. This is a very personal issue for us at Nature's Sunshine because we have longstanding personal relationships with people whose lives are directly impacted by what's happening on the ground there. Our Ukrainian distributors and customers have been dedicated to Nature's Sunshine for over 20 years. There are friends and they are an important part of Nature's Sunshine's family, and we care for them deeply. As such, it's our time to step up, give back and care for them in their time of need. Through our Impact Foundation, Nature's Sunshine will be making charitable contributions to ensure that our distributions and the Ukrainian people have the critical lifesaving assistance they need during these challenging times. We are working with our management team on the ground and several global partners to do whatever we can to keep our people safe and support the Ukrainian people. Through our resources on the ground, we continue to monitor the situation closely, but the situation is fluid and evolving day-to-day. Obviously our first priority is to make sure that our people are safe and healthy and we will continue to do whatever we can to help them get through this. Now, let me move on to talk about our fourth quarter and full-year results for 2021, as the strength and momentum of our business continues to build. The fourth quarter of 2021 was our sixth consecutive quarter of historic record-breaking net sales and growth. Consolidated fourth quarter net sales came in at $118 million, up 16% year-over-year or 17% in local currency. Our Asian, European and North American operating business units, all reported strong growth for the quarter, led by Asia with 36% growth in local currency. We also delivered strong bottom line results as adjusted EBITDA increased significantly to $11.6 million, which is a 55% increase versus prior year. Similarly, for the full-year, we reported record sales of $444 million, which represents a 15% increase compared to 2020 and the largest sales in the 50-year history of our company. The increase was driven by growth across all of our OBUs and strong execution of our five global growth strategies. On the bottom line, we increased gross margin 16%, operating income was up 61% and adjusted EBITDA increased 37% for the year despite facing some of the most intense supply chain pressures in our 50-year history. Strong results are evidence that we continue to build momentum and that our strategies are working. As a reminder, we are still at the beginning of our journey, having launched our new business model and strategies late in 2020. The new business model has proven to be a powerful customer growth driver that has allowed us to excite and engage new and existing customers. As we move forward, we are committed to improving all aspects of our business top and bottom line. At this point, I'd be remiss, if I didn't briefly pause to recognize and thank our incredible management team for their efforts in delivering our sixth consecutive quarter of record sales, while dealing with the pandemic and a global supply chain crisis. Again, we are still in the early stages of our transformation, but I am excited to have such a great team here at Nature's Sunshine that's on a mission to share the healing power of Nature with more and more people across the globe. Now, I'd like to share a few of the key highlights from each of our OBUs in the fourth quarter. In Asia, sales for the quarter grew 36% in local currency, driven by 31% growth in Japan and 57% growth in China on a local currency basis. South Korea saw a 6% sales decrease on a local currency basis in the quarter, primarily due to government restrictions related to COVID-19. The launch of targeted incentives to drive order growth along with the successful launch of several new l'amara products, our new innovative natural skincare line, helped offset some of the challenges posed by the COVID-19 restrictions. Again, in China, we continue to deliver solid double-digit growth with a 57% sales increase in local currency. We continue to leverage our digital toolkit, build omnichannel capabilities and improve our social media presence using tools like TikTok to drive growth. We are extremely pleased with how our business has progressed in China, and we believe we still have tremendous growth potential in the market. Moving to Japan. We are reporting our eighth consecutive quarter of growth with sales up 31% for the quarter and 37% for the year in local currency. The fourth quarter increase was driven by order growth from strong new customer acquisition. Our Japanese team has been aggressively promoting our Subscribe and Thrive auto-ship program, which now represents 50% of sales. This is an important, not only because customers have the opportunity to more effectively improve their health, it's also important because it supports incremental sales growth. Finally, Taiwan continues to deliver strong breakthrough performance with 329% growth on a local currency basis in the quarter. Our highly motivated team of distributors continue to compete for the top sales position, driving order growth through new customer acquisition. The focus on field fundamentals is paying off as distributors are using a more disciplined approach to build their businesses and manage customer relationships. Overall, we are extremely pleased with the progress we've made in Asia and we look forward to continued growth in 2022. In North America, sales increased 6% in the fourth quarter, reflecting the positive momentum we have seen since the launch of our new business model and the introduction of our rebranding initiatives, our new digital tools and our Subscribe and Thrive auto-ship program. During the quarter, we also got a boost from several new holiday campaigns, including Black Friday, Cyber Monday, and a 12 days of wellness promotion campaign. Overall, this was the regions strongest quarter of growth for the 2021, and our DTC business generated more revenue in the fourth quarter than the second and third quarters combined. By market, NSP U.S. and Canada were up 7% driven by an intensified focus on customer growth had increased demand through our nutritional supplements. We are very pleased with NSPs growth in the U.S. and Canada and the positive effects of our initiatives that they are having on our business. Overall, North America has gone through a tremendous amount of transformation in the last year, as we've completely relaunched the business with the new business model. We are still in the early days, but we continue to listen to feedback from our customers, practitioners and retailers to fine tune and improve the customer experience and improve the brand's overall consumer appeal. In Europe, we delivered another quarter of double-digit growth as sales grew 12% on a local currency basis. The growth was led by our markets in Central and Eastern Europe. Poland had the highest sales growth in the region, reporting a 26% increase for the fourth quarter on a local currency basis and a 33% increase in local currency for the full-year. The growth was driven by the team's execution of our growth strategies, which led to strong growth in both orders and average order. New product launches like CoQ10 and the grand opening of a new retail store in Warsaw also helped fuel growth for the quarter. Russia increased 16% in local currency for the quarter, driven by strong customer growth and the success of our new product packaging. During the quarter, we continue to see expansion into new markets and improve penetration across the business. While we are pleased with the team's accomplishments, our attention is obviously on the current state of affairs. As discussed at the beginning of the call, we are all saddened by what's happening in the region, and the war in the Ukraine weighs heavily on our minds. Our thoughts and best wishes are with the great people of the Ukraine and all of our wonderful partners throughout the region. While the situation is dynamic, the business is obviously impacted by this. Countries are not receiving new shipments, but they do have anywhere from three to five months of inventory on hand based on historical consumption rates. Our CFO, Joe Baty, will share more insights with you after my remarks, and we will keep you updated as we learn more. Moving to Western Europe. Sales were down 15% in the fourth quarter and down 6% for the full-year on a local currency basis. Remember, we still haven't launched our transformation initiatives in Western Europe, so Q4 results are largely in line with expectations. As we begin to introduce the major tenants of the new business model, we should expect to see positive momentum building across that business. Finally, in Latin America, our business was down 12% in local currency in the fourth quarter, driven by government imposed COVID restrictions and a temporary systems issue that prevented retail sales from being processed in a timely manner. The systems issue is being addressed and we will monitor COVID restrictions closely. For the full-year, sales increased in LATAM 11% versus prior year in local currency and the business has responded well to our transformation initiatives. To support the local management team and ensure that we get our fair share of this large dynamic growth market, we are pleased to have announced Vallen Blackburn as the new Head of LATAM. As we intensify our focus on Latin America, we believe Vallen’s experience and disciplined leadership style will help drive continued progress in the region. The strong performance across our OBUs for the fourth quarter and full-year contributed to our historic results and demonstrates the effectiveness of our global strategies in driving sales and profitability. As we look at 2022, we look forward to building on the momentum behind our strategies. With that said, I'd now like to move on to discuss our progress on our five global growth strategies, starting with brand power. I'm pleased to announce that we are already 90% finished with our global repackaging efforts that were a key part of the rebranding initiative. The new packaging and marketing collateral was extremely popular with customers and distributors around the world gave us high praise for creating something that not only speaks to the authentic spirit of Nature's Sunshine, but also brings new life and excitement to the brand. The rebranding has been an important growth driver for the business and our analysis suggests that the new packaging, branding and the Force of Nature campaign combined to successfully drive activation among both existing and new customers. Brand building initiatives will continue to be a key part of our growth strategy moving forward. New product launches were also an important component of our brand power strategy. The introduction of health basics like Collagen, CoQ10 and Vitamin D3 in select markets were important additions to the portfolio. We also diversified the product line to include a new line of clean beauty products under the l'amara brand name. Our R&D and marketing teams worked on the l'amara concept for almost two years, evaluating product profiles, reviewing ingredient stories and developing a go-to-market strategy. l'amara is distinguished by its clean ingredient story that combines innovative ingredients from the land and sea. It was a very successful launch with strong sales in South Korea, Japan, and the U.S. On Field Energy, we continue to fine tune and improve the effectiveness of important programs like Subscribe and Thrive and our affiliate program. The initial launch of each of these programs delivered significant learnings, and we are in the process of introducing Phase II enhancements designed to improve consumer appeal, user experience, and ease of use. Subscribe and Thrive is a powerful way to drive order growth and increase the lifetime value of customers while helping customers improve their health. In addition to functional and process changes, we are also increasing our promotional efforts to increase awareness and acceptance of the program. Similarly, our focus on affiliates will be strengthened with several Phase II enhancements designed to improve targeting, improve the user experience and make sharing easier. As part of our ongoing effort to improve field fundamentals, we've also launched a series of training programs and modules to support our distributors. In South Korea, for example, the team launched a new distributor app that provides access to sales training modules, product training and coaching and business management courses. This type of automation, while not a replacement for face-to-face training, will be particularly helpful as we move forward with a broader array of training options. Turning to Digital First. We continue to build our digital capabilities and enhance our digital assets based on market feedback. Our web platform continues to strengthen as we add new capabilities and refined processes, and our plans to launch a new global digital platform are on track and we are making good progress. Importantly, our test and learn approach to DTC also continues to pay dividends as we build momentum and fine tune our DTC strategy. We have accumulated nearly a year's worth of data on consumer preferences and buying trends and we've been able to analyze the data to figure out how to strategically allocate resources to maximize performance. As a result and as an example, in the fourth quarter of 2021, we generated more DTC sales in the fourth quarter than in the second and third quarters combined, as I had mentioned. We will continue to focus on building our DTC business and look forward to seeing our distributors build their DTC businesses as well by leveraging the fully replicated websites and sharing tools that they have at their disposal. Lastly, our new personalization initiative is up and running as a beta test. Since we are still in beta, I won't comment on our progress. However, I will say that in a world where consumers are increasingly aware that each person's health needs are unique and different, we are very excited about how our personalization program will help revolutionize the customer experience. Moving to Manufacturing, Inc. Our supply chain team produced a record number of units in 2021, while continuing to deliver the highest level of quality and purity available all during the global supply chain crisis. Fortunately, in anticipation of the challenges resulting from the pandemic, we made a strategic investment in inventory to protect demand and limit our exposure to market volatility. As demand for our products increased, we also invested in equipment upgrades to improve production capacity and throughput. The new state-of-the-art high speed equipment will further upgrade our capabilities, improve productivity and strengthen the reliability of our supply chain. While many of these changes will impact us more in 2022, we've already seen an 8% boost in capacity at our main Spanish Fork facility. As we move forward, we will continue to upgrade our industry-leading manufacturing capabilities and evaluate and assess our global supply chain footprint. We take great pride in our industry-leading manufacturing capabilities as it's the key component of what makes us unique and is what allows us to expertly craft each product to deliver the best supplements on the market. To that end, despite having to deal with the global supply chain crisis and address unprecedented labor market challenges, the team managed to lead recertification efforts for our industry-leading list of certifications. And in the fourth quarter, they oversaw our ISO 9001, ISO 17025, USDA Organic, Halal, Kosher and NSF certifications with the highest rating. And as a result, we continue to lead the industry in this area. Finally, our Right Stuff initiatives continue to focus on building a high performance organization. In the fourth quarter, we delivered another quarter of record setting results with operating profit increased 235% to $7.5 million, while operating margins improved 420 basis points. Similarly, adjusted EBITDA increased 55% to $11.6 million for the quarter, and EBITDA margins increased 240 basis points. As we move forward in 2022, we expect to continue to make progress on the business as we execute our five global growth strategies and leverage our strong financial and operational foundation. We are watching conditions closely in Russia and surrounding markets, but I want to stress the importance of our growth strategies across markets. We believe our journey to transform Nature's Sunshine has just begun. It's our 50th anniversary this year, and we are at a crossroads for carrying the legacy of our founders forward, while reimagining Nature's Sunshine business for the future. The strength of our business continues to improve our financial position and our capital allocation plans are a key priority. As such, the Board of Directors has authorized us to increase our share buyback program by an additional $30 million. We are pleased with the progress of the business and believe an intensified focus on our five global strategies. We will continue to move our business in the right direction and will help us gain traction over time. We continue to look for capital allocation opportunities that maximize shareholder value in line with the priorities we've previously outlined. Lastly, before I handed off to Joe, I'd like to share that we will shortly publish our Inaugural ESG Sustainability Report. Caring for the environment is central to what we do and that's why we prioritize reducing our environmental footprint and working with our farmers to support regenerative agricultural practices. Additionally, we are committed to caring for the people who help us take care of our customers. We ensure ethical labor practices throughout our supply chain, provide jobs around the world and give back to communities globally through our Impact Foundation. To help us build a leadership position in the areas, sustainability and transparency, we've introduced a new global sustainability and transparency team led by one of our most capable experts in this area, Trent McCausland, who has recently appointed Global Vice President, Sustainability and Transparency. We are happy to share our initial ESG report and hope that you'll have a chance to read it. With that, I'd like to turn the call over to Joe who will walk you through our fourth quarter and full-year 2021 financials in more detail. Joe?
Joseph Baty: Thank you, Terrence, and good afternoon, everyone. Net sales in the fourth quarter increased 16% to a company record of $117.9 million compared to $101.7 million in the year-ago quarter. This marks the sixth consecutive quarter of record net sales. As Terrence mentioned, this increase was primarily driven by growth across our Asia, Europe and North America operating business units due to the continued execution of our business transformation initiatives, new product launches, and the increase in demand for nutritional supplements. Excluding foreign exchange rates, net sales increased 17% in the fourth quarter of 2021. On an absolute basis, net sales in Asia increased 33% to $49.2 million compared to $36.9 million in the prior year quarter. This represented a 36% increase on a local currency basis. The increase is primarily attributable to strong customer growth in Japan, China, and Taiwan supported by our digital toolset. Net sales in Europe increased 11% on an absolute basis to $26.1 million compared to $23.6 million in the year-ago quarter. This represented a 12% increase on a local currency basis. During the quarter and full-year, Poland was our fastest growing European market as our team focused on strong field fundamentals and customer growth throughout Central and Eastern Europe. As Terrence mentioned, we are watching the Russia, Ukraine situation closely. As discussed in our Form 10-K, we have significant operations in our Russia and other market, which includes Russia, Ukraine, Belarus, and other common independent states in the region. Net sales in the region were $61.4 million and $51.2 million respectively for 2021 and 2020. Related operating income was $5.8 million and $5 million respectively for 2021 and 2020. At least for 2022, the current situation poses significant risk to our business and we continue to evaluate the impact. North America net sales increased 6% to $36.9 million compared to $34.7 million in the prior year period. The increase is attributed to business transformation efforts and success with our growth initiatives. Net sales in Latin America and other were $5.8 million compared to $6.6 million in the prior year period. This represented an 11% decrease on a local currency basis, which was primarily due to supply chain and systems-related challenges. Additionally, we faced a tough comp for the fourth quarter since we reported 18% growth in the fourth quarter of 2020 from 2019. Gross margin was flat quarter-over-quarter as 74%. The supply chain pressures we faced, whether it was port delays, raw materials shortages or manufacturing capacity were some of the toughest challenges that Nature's Sunshine has faced in its history. It's a true testament of our team's dedication and execution for us to be able to report a stable gross profit margin for 2021 as compared to the prior year. Volume incentives as a percentage of net sales were 29.1% compared to 34.1% in the year-ago quarter. The decrease is partially due to changes in market mix and growth in NSP China, where volume incentives are included in SG&A. The decrease also reflects cost savings from the September 2020 launch of our new consultant sales and compensation plan in North America and LATAM. Selling, general and administrative expenses were $45.4 million compared to $38.4 million in the year-ago quarter. The increase was primarily attributable to higher costs associated with incremental variable service fees in China from net sales growth, the implementation of business transformation and sales growth initiatives in the U.S. and other markets, and direct selling costs associated with increased sales among other factors. As a percentage of net sales, SG&A expenses were 38.5% in the fourth quarter of 2021 compared to 37.8% in the year-ago quarter. Excluding restructuring and other unusual expenses, SG&A expenses as a percentage of net sales were 38.2% in the fourth quarter of 2021 compared to 37.1% in the year-ago quarter. Looking forward to 2022, we expect added SG&A costs from travel and events as the economy further reopens versus COVID constraints experienced in 2021 and 2020. Operating income in the fourth quarter increased 235% to $7.5 million, or 6.4% of net sales compared to operating income of $2.2 million, or 2.2% of net sales in the year-ago quarter. GAAP net income attributable to common shareholders for the fourth quarter was $13.4 million, or $0.67 per diluted share as compared to $5.9 million, or $0.29 per diluted share in the year-ago quarter. The year-over-year increase is primarily attributable to the strong sales from continued execution of the company's growth strategies together with a favorable income tax benefit. Adjusted EBITDA, as defined in our press release as net income from continuing operations before income taxes, depreciation, amortization and another income or loss adjusted to exclude share-based compensation and certain noted adjustments increased 55% to $11.6 million in the fourth quarter as compared to $7.5 million in the prior year period. Now shifting to a discussion regarding our liquidity and capital allocation plan. We had cash and cash equivalents at December 31 of $86.2 million and $2.4 million of debt. We remain very healthy from a cash flow perspective and our cash position reflects the impact of our share repurchases program. Share repurchases are one piece of our capital allocation plan, which has the ultimate goal of increasing shareholder value. In 2021, we repurchased a total of 439,000 shares at an aggregate cost of $7.4 million. As noted in today's announcement, our Board of Directors authorized an additional $30 million for repurchases of the company's common shares. Beyond share repurchases, our capital allocation plan supports investments we are currently making – we plan to make as part of our business transformation. During the quarter, we increased inventory levels $3.5 million higher than the prior quarter period, primarily reflecting an increase in raw materials and finished goods as we dynamically managed our inventory levels to meet demand and mitigate supply chain challenges. At December 31, 2021, our Russia and other region had assets of approximately $6.8 million, primarily consisting of inventories and accounts receivable. The current situation poses risk to realizing full value for region specific assets. Again, we continue to evaluate the impact. Additionally, we are making investments as part of our global growth strategies. As mentioned last quarter, these investments are expected to modestly increase our costs over the next few quarters, but we expect the long-term benefit of these investments allow us to sustain our growth and drive further operational improvements for years to come. Going forward, we are continuously assessing the capital allocation plan and are collaborating as a management team and with the Board to look at a variety of alternatives, both organic and inorganic to make sure we are using our capital to the greatest extent in order to drive customer acquisition and activation and increase total shareholder value. I'd also like to share that during the year, we had a cross-functional initiative to minimize double taxation of foreign-based income. I'm happy to say that the work proactively reposition Nature's Sunshine to address changes to U.S. tax laws and repatriate cash back to the U.S. As a result of this initiative, we recognize an income tax benefit of approximately $7 million in the fourth quarter of 2021. This benefit is expected to be realized as cash savings over the next five years. We continue to evaluate opportunities for further income tax savings. Before we jump into Q&A, I want to end by saying that our team did a phenomenal job throughout 2021. As a result of strong execution from our team, we had another quarter and year of record growth and improved profitability. For 2022, we are cognizant of the situation in Eastern Europe and the potential for impact on our financial results. Additionally, as Terrence mentioned, we are working closely with our team and partners to mitigate supply chain challenges. Supported by our strong balance sheet, we believe our global growth strategies coupled with our team's excellence in achieving success lead to a very optimistic long-term future for Nature's Sunshine. Now I will turn it back over to the operator for Q&A. Operator?
Operator: Thanks, sir.  And we will go to our first question from Linda Bolton-Weiser of D.A. Davidson.
Linda Bolton-Weiser: Hello. How are you?
Terrence Moorehead: Hey, Linda.
Joseph Baty: Hello, Linda.
Linda Bolton-Weiser: Hi. Yes. Congratulations, great quarter and year.
Terrence Moorehead: Thank you.
Linda Bolton-Weiser: So can I just start with, I guess Russia and your exposure there and in Ukraine. So you quantified it, which is good. Can you just tell us what is going on right now? In other words, do you ship the products there from the U.S. or from where? And are you currently shipping? And yes, I mean, just kind of talk about exactly like what's going on right now?
Terrence Moorehead: Yes. So products leave from the U.S.  basically go over there. They're manufactured in our Spanish Fork facility. Many of them actually have, I believe the same labeling as some of our U.S. products. But we are not shipping products right now, the shipments are on hold. As I had mentioned, they do have depending on kind of what the consumption rate is, if you just look at historical consumption rates, they have about three to five months worth of inventory on hand or in transit to them. So that's the status right now. People are still doing business over there where they can, but obviously Ukraine is a different situation. Joe, do you have some additional commentary? I don't know if there's anything else.
Joseph Baty: No, I think Terrence touched on it Linda. But obviously, as I pointed out in my comments that our business are – we have some risks there, right? I mean the business is clearly being impacted by the overall situation. It's good that we have some inventory on the ground there, but there's still challenges and trying to get the inventory into the right hands and so forth. So as we sit here today, we are not shipping any further product and we'll just have to continue to evaluate and see how the situation plays forward. But as I noted in my comments, I mean, it's a significant business for us in 2021, $61 million plus in revenues and almost $6 million in operating income.
Linda Bolton-Weiser: Yes. Of those figures, you mentioned the $61 million is the vast majority of that Russia or like what percentage is Ukraine of that amount?
Joseph Baty: It's all the above. As we look at it, we call it Russia and other, but it includes Russia, Ukraine, Belarus, Moldova, and one or two other of the markets there in that area. But the primary ones are Russia, Ukraine, and Belarus.
Terrence Moorehead: And Ukraine is about a third, roughly a little bit more than a third.
Linda Bolton-Weiser: Ukraine is a third?
Terrence Moorehead: It's a little bit more than a third of the sales.
Joseph Baty: Yes. It's  to 40% of the total. So somewhere in there, just there's a little bit of flexibility there, yes.
Linda Bolton-Weiser: And in Russia, I'm just curious, is it mostly like distributors or little stores or direct selling reps type of distribution?
Terrence Moorehead: I'm sorry, could you repeat that, Linda? I couldn't hear you.
Linda Bolton-Weiser: Like in Russia is your – is it mostly little stores or distributors or direct selling reps that are doing the selling to consumers?
Terrence Moorehead: So they actually have quite a network of retail type distribution centers that are all around, they've got several hundred of them around the country. And then from there, they would also have kind of representatives who would kind of go in and get their products and sell to their customers as well. But the bulk of it is, is these retail centers. And then they do have a fair amount of digital business as well that they have historically driven.
Linda Bolton-Weiser: Okay. And then – so you've done a really great job with your gross margin and great challenges, it was flat in the quarter, so that's really impressive. Can you remind us, have you taken pricing and then if you had to – I know you don't want to give guidance, but are you hopeful, you can maintain that gross margin in 2022?
Terrence Moorehead: We have not taken any meaningful pricing yet. There is a pricing initiative in the U.S., I think that's coming in April, right beginning of April. And so that'll provide some uplift in the cushion to fight off inflationary pressures. Joe, additional?
Joseph Baty: No. Did we answer your question there Linda, or…
Terrence Moorehead: No, there's a second part I missed.
Joseph Baty: Yes. I think there was a second part that…
Linda Bolton-Weiser: Well, I know you don't want to give guidance. You're not doing that yet. But I mean, in the sense that you've had initiatives and you've had things that have offset, can that continue so you can maintain gross margin or do you think you will save more pressure in 2022?
Joseph Baty: Well, we believe that, again, there is a pending price increase for North America. We believe that will help offset certain inflationary pressures. Obviously, as we've discussed in our comments, we believe that our proactive approach to bringing in more raw materials, clearly our inventories are up. You can see that on a year-over-year basis, so forth, that is primarily raw materials. We believe that will help hedge against inflationary pressures as well. So you're right. We're not necessarily giving guidance, but I would say, as we sit here today, subject to other things that may happen over in Eastern Europe and so forth, we feel pretty good about our ability to maintain a relatively consistent gross profit margin in 2022.
Linda Bolton-Weiser: Okay. Thank you. And then your performance in Asia is really impressive because some other companies did face widespread impacts from lockdowns, and maybe you just mentioned that more in South Korea. Is there something different about South Korea or like when do you think that the growth there will kind of start going again in terms of positive growth in South Korea?
Terrence Moorehead: Yes. I think the real difference with South Korea is, are the government restrictions that they have there versus what they have elsewhere. And again, one of the restrictions is on group size and meeting size. You can only get five people together in a room and the underlying kind of processes of that business and the kind of the fundamentals, the field fundamentals driving that business are driven by a lot of kind of face-to-face contact and training historically driven by kind of incentive events where you might get the field people to chase after an incentive trip of some type. So in the absence of those types of incentives, promotions and business building activities, it's been somewhat of a challenge for the team in South Korea. We haven't seen those type of restrictions in places like Taiwan and Japan where they do use similar – some similar tactics. But they're probably also using a little bit of digital, maybe a little bit more effectively, and they've got to deal kind of a somewhat of a younger demographic that are again, just using some other tools in a different manner. So you also have, as I had mentioned, a really robust subscription auto-ship program in a place like Japan, where 50% of the revenues are locked in. And so every new person they're bringing into the business is largely incremental, which is fantastic. And so that's just really hard work by the team in Japan on the ground there versus say at Taiwan where they're just so competitive right now, nobody wants to be outdone, and so they're building their customer bases like wildfire there. And then you have China, that's really leveraging omnichannel capabilities and things like TikTok in order to get out there and get into the market. So there are just some different practices and different behaviors and opportunities in some of these different markets in Asia. But I think the good news is, again, all things being equal, those fundamentals and that momentum should carry-forward in 2022, again, all things being equal. And as soon as you start seeing some of those restrictions ease in South Korea, I mean our expectation is just like we've seen in other markets is that, we start to see some positive movement.
Linda Bolton-Weiser: Okay. And then…
Terrence Moorehead: Yes. So we feel really good about Asia. Feel good about – obviously feeling good about North America as well, and the momentum we're seeing with our DTC opportunity, I mean, it's just doing a great job. I think the team is doing a phenomenal job building out those digital capabilities and our kind of retail business and practitioner business have – we're seeing some kind of, I'd say more stability there as well are certainly expected going forward. Again, all things being equal.
Linda Bolton-Weiser: Right. Great. And then well just let me just ask about your share repurchase, that's a big amount and quite frankly, I didn't have as much in free cash flow projection for the next year, but maybe I need to raise it. But is that going to be just paying for it out of your internally generated cash flow? Or do you think you could put some debt on a balance sheet to kind of fund that share repurchases?
Terrence Moorehead: Do you want to tackle that one, Joe?
Joseph Baty: No. I mean, I guess to spend some degree on the buying opportunity, Linda. But as we sit here today, I wouldn't anticipate that we would borrow much for that. So yes, the expectation that we would be funding those repurchases from a combination of existing cash coupled with ongoing free cash flows.
Linda Bolton-Weiser: And is it over a year or is –
Joseph Baty: Is that helps?
Linda Bolton-Weiser: Yes, sure. Is the timeframe specified on that $30 million repurchase?
Joseph Baty: No, it's not specified. Yes, I would just update you the – as you know, we implemented the initial share repurchase about one year ago, the tune of about $15 million and of that $15 million, as we sit here today, we have less than $1 million available to us, so we're going to reload with the $30 million and we'll see whether that's all utilized in one year or not. So good to see. And obviously, we have met certain metrics that we consider in that – in the buying opportunity. But we appreciate the Board and their support and obviously, we feel very good about our financial health and our ability to continue to generate cash going forward.
Linda Bolton-Weiser: Okay. Well, sounds good. I'll leave it there and good luck in the next year.
Terrence Moorehead: Thank you. Thanks, Linda.
Joseph Baty: Thank you, Linda.
Operator:  And we'll go next to Steven Martin of Slater.
Steven Martin: Hi, there guys.
Terrence Moorehead: Hey, Steve. Hey, how's it going?
Steven Martin: Pretty good, and congratulations once again on a great quarter.
Terrence Moorehead: Thank you.
Steven Martin: And I do appreciate the aggressiveness on the buyback and the aggressiveness on the new buyback. So you've lived up all the expectations and all your commitments. The fourth quarter EBITDA margin – the full-year EBITDA margin got into double digits. The fourth quarter always seems to be light. Is there something about the fourth quarter that causes that?
Terrence Moorehead: Yes. We will frequently have expenses whether those before events or accruals that will come up, as the performance ramps up and you're overperforming, there maybe some accruals that will be added in. But yes, in fourth quarter, there maybe some and usually are at least some types of either events or conferences, conventions that may happen, that don't happen in the previous quarters. Joe, do you have some additional commentary around that?
Joseph Baty: No, it's well said. I mean, there's a little bit of a timing, Steve, it's a fair question. The other thing that'll come into play is the final accrual and true-up of certain employee-related costs. Okay, depending on how the year played out. And if you understand the way the company's bonus plan works and so forth, it's disclosed in the property. I mean, it's based off lease in 2021, it's based off sales and EBITDA and so forth. So that'll come into play. That all trues up. And so there maybe little heavier accrual in the fourth quarter, say versus earlier quarters. And then there's just other employee-related costs that will true-up in the fourth quarter, whether that's health benefit costs and so forth and so on. So there's a little bit of a timing to it. But all things considered as we pointed out, fourth quarter over fourth quarter, we're obviously pretty pleased with the improvement in EBITDA.
Terrence Moorehead: Yes.
Steven Martin: Absolutely. I know you don't want to give guidance, but I'm not going to let you off the hook quite as easy as Linda because I've been at it longer, recognizing what's going on in Ukraine and Russia and other factors in the supply chain. When you look out to 2022, you've had a great run of – in the last three or four years, good sales growth and good EBITDA growth. Can you give us some – can you frame 2022 in some way shape or form for us? Do you expect topline to be up? Do you expect EBITDA margin or dollars to be up despite all the headwinds?
Joseph Baty: Well, it's a fair question. And in an ideal world, Steve, I think, Terrence and I learned that we would've liked to have – would be close to providing formal guidance.
Terrence Moorehead: Yes, exactly.
Joseph Baty: Having said that, as you well know the situation over in Russia, Ukraine just came about literally in the last couple of weeks, and as we already pointed out, it does have a – it can have a pretty significant impact on overall business. I would say, overall, it's just way too early to assess what that impact could be for us in 2022. I would say, putting that aside, if the question was, would we have expected growth in 2022 versus 2021? The short answer is absolutely, but that's not an insignificant part of our business. It's clearly impacting us as we sit here today. We'll have to – we're continuing to evaluate that day-after-day, week-after-week. So that comes into play. It's just premature to say, overall 2022, what's the impact is going to be say versus 2021. But here in another six weeks or so, we'll be reporting on the first quarter of 2022. And I certainly hope that we have a much better feel for what the potential impact could be this year.
Steven Martin: All right. Terrence, when we met with you a couple of months ago, you talked about all the initiatives for the last quarter 2021 and then into 2022. When you look out at 2022, could you rank the importance of the various initiatives, whether it's the product rollouts or the system rollouts, et cetera?
Terrence Moorehead: Sure. And it's not – they're not necessarily linear Steve because they – our strategies are designed to work together, right? So they are integrated strategies. But you've got to have things like digital up there at the top of your list. You've got to have certainly our Subscribe and Thrive initiatives at the top of the list. The rebranding and new product development is critical to us also, and we've seen that for the last couple of years now, and even where it was relatively unexciting products, like CoQ10 or a D3. In many of these markets, those are just very important products. And so where we've got those product gaps and we can get them into the market, it does make a difference and have a real impact. But again, those work most effectively when the rebranding has been launched effectively when our digital capabilities are in place, and when you've got a kind of a Subscribe and Thrive up and running and working. Where like in Japan, if you got somebody in, you're not just going to get one order out of them, you're getting five plus orders out of them. And every new consumer you add on top of that is incremental. So I think those are some of the key ones, I don't want the list to get too long.
Steven Martin: What about on the new product side, if you had to rank the new products in terms of their importance to 2022. How would you do that?
Terrence Moorehead: Again, it depends by market because again, in some of these markets, I've got some markets in Asia where I could do a refresh on a chlorophyll type product and have tremendous – get a tremendous uplift from that. I could do and one of the things that we're going to be looking into and working on in 2022 and beyond is kind of building out some of our brands to just give them more stature. And I'll use it as an example, something like a Rejuvenaid that is an outstanding kind of revolutionary product that is still – it's in the top 10, but it should be a number one seller, it could be a kind of a mini business on to its own. So that's something that we're looking at, we're working on, we're working on our gut health products and our gut health portfolio. So really what you should be looking for Steve over the next 12 to 18 months is just a tighter focus on maybe some of the – I don't want to necessarily call them mega brands, but either let's use that term mega branding or mega categories around things like a Rejuvenaid, a ProArgi-9, could even be something like some of our proteins where we've got some really phenomenal protein technology that we're launching. But those are type of basics where we can really build some good solid sustainable business around. And so that's – those are a couple of things we're going to be working on over the next 12 to 18 months, if that's helpful.
Steven Martin: Okay. And one last one for Joe. Inventory, you built up the inventory, you commented on that. Is inventory where you want it to be or are we going to see another jump up in 2022?
Joseph Baty: Good question, Steve. I think it's maybe still a little bit light of where our ideal position is, but especially, as we continue to try to assess ongoing supply chain challenges and so forth and so on, do I envision a dramatic increase now, but could you see some fluctuation that still climbs a bit in 2022? Yes. But I think we're getting pretty close to where we think we ought to be just from a safety stock standpoint and hedging inflation and so forth and so on. But you will see a little bit of volatility, but I don't think you'll see dramatic volatility over 2022.
Steven Martin: All right. Thank you very much, and congratulations again.
Terrence Moorehead: Thanks, Steve.
Joseph Baty: Thanks, Steve.
Operator: And at this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Moorehead for closing remarks.
Terrence Moorehead: Okay. Well, really, just like to say thank you everybody for listening to today's call. We look forward to speaking with you again when we report our first quarter 2022 results in May, but until then take care and look forward to talking to you again. Take care and thank you.
Joseph Baty: Thank you.
Operator: And ladies and gentlemen, this does conclude today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.